Operator: Good day and thank you for standing by. Welcome to the Patria Investments Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Josh Wood, Head of Shareholder Relations. Please go ahead.
Josh Wood: Thank you. Good morning, everyone and welcome to Patria's second quarter 2021 earnings call. Joining on the call today are our Chief Executive Officer, Alex Saigh; and our Chief Financial Officer, Marco D'Ippolito. Earlier this morning, we issued a press release and earnings presentation, detailing our second quarter 2021 results which you can find posted on our Investor Relations website at ir.patria.com or on Form 6-K filed with the Securities and Exchange Commission. Any forward-looking statements made on this call are uncertain, do not guarantee future performance and undue reliance should not be placed on them. Patria assumes no obligation and does not intend to update any such forward-looking statements. Such statements are based on current management expectations and involve inherent risks, including those discussed in the Risk Factors section of our Form 20-F annual report filed earlier this year. As a foreign private issuer, Patria reports financial results using International Financial Reporting Standards, or IFRS, as opposed to U.S. GAAP. Additionally, we will report and refer to certain non-GAAP industry measures which should not be considered in isolation from, or as a substitute for measures prepared in accordance with IFRS. Reconciliations of these measures to the most comparable measures calculated in accordance with IFRS are included in our earnings presentation. As a quick overview of the results, Patria generated $73.4 million in IFRS net income in Q2 '21. On key non-GAAP measures for the second quarter, we generated fee related earnings of $17.6 million and performance-related earnings of $56.4 million, driving distributable earnings of $74.2 million or $0.545 per share. In alignment with our policy, we declared a dividend of $0.463 per share payable on September 16 to shareholders of record as of September 2. With that, I'll now turn the call over to our Chief Executive Officer, Alex Saigh.
Alex Saigh: Thank you, Josh. We appreciate all of you joining the call this morning to discuss our excellent second quarter results and outlook. We are very excited with our progress since the IPO and we have generated distributable earnings of $0.67 per share year-to-date. Now with good visibility on fee related earnings for the second half of the year, we have a clear line of sight to near $1 per share of distributable earnings for the full year. And not only are we delivering strong results here in 2021 but our key growth drivers for the coming years are well intact and running ahead of our expectations from the beginning of the year. We are deploying capital faster with nearly $1.8 billion invested or reserved in the first half of 2021, equating to an annualized pace well above our historical average. This deployment acceleration means faster fee-earning AUM growth which is driving 31% fee revenue growth and 19% fee related earnings growth compared to the second quarter of last year. Faster deployment also means that we are accelerating our fundraising time lines and we expect to have a first closing for our next-generation Private Equity Fund in the second half of this year. Our funds are performing even better with more than $2 billion of valuation growth across the platform over the last year and our net accrued performance fees rising to $325 million. We are now delivering an attractive yield to our shareholders as evidenced by our realization of $56 million in performance-related earnings in the second quarter. I'll now cover some key highlights across our businesses. The strong deployment environment is again evident in our second quarter activity as we invested or reserved more than $1.2 billion in our closed-end funds. That is on top of $550 million in the first quarter, bringing the year-to-date total already to almost $1.8 billion. In terms of strategies, more than $1.2 billion was deployed in our flagship Private Equity Fund and $450 million in our flagship Infrastructure Fund year-to-date. In Private Equity, recent investment activity included new commitments in our thesis areas of cybersecurity, grocery retail and cold logistics, where we have conviction in our ability to build market-leading businesses in Latin America. Our current vintage Private Equity Fund is almost fully committed as of June 30 and well above the threshold that allows us to go back to the market. As noted, we expect to begin raising the next-generation Private Equity Fund during the second half of this year and continue to be optimistic on the opportunity to scale this fund again by up to 50%. The timing acceleration is positive for our fee related earnings growth in 2022 and beyond and this new revenue stream pulls forward. Investment performance here continues to be outstanding. With Private Equity Fund V, a 2015 vintage fund, generating a net IRR of 36% in U.S. dollars which has stopped the sale by vintage, not just on a Latin America or emerging market basis but on a global basis. Private Equity Fund VI, a 2019 vintage fund which is still in it's investment period, is already generating an impressive 28% net IRR in U.S. dollars. We are excited about the value creation our world-class investment team is delivering which will also accrue to shareholders over time as these funds mature. Our latest flagship Infrastructure Fund continued to actively commit capital to new projects. You may have seen in our press release highlighting our growing toll road portfolio and specifically our success expanding into Colombia in this space, making Patria now the third largest toll road operator in Latin America. We take pride in not only generating returns for our limited partners with these investments but also in delivering projects that will fill critical needs for our communities and society. We believe there is an incredibly large and diverse infrastructure opportunity to address in the region. And Patria's scale and expertise allows us to be selective, with an ability to tackle complex development projects where few other firms have the necessary resources. While we expect to bring the next-generation flagship Infrastructure Fund back to market sometime next year, also ahead of schedule, we are excited to announce plans to launch a new dedicated renewable energy fund in the second half of this year. This will also be a closed-end fund targeted to our global institutional LPs which we believe fills an important seed of demand from investors who want more targeted mandates focus on renewables and the accelerating global energy transition. Fundraising in our country-specific strategy should also pick up in the second half of this year with opportunities to raise money in credit as well as our real estate investment trust and infrastructure core vehicles. These vehicles are denominated in local currency and we see a path to raise about BRL4 billion this year including BRL800 million raised for our Infrastructure Fund in the first quarter. About 80% of that would be in permanent capital type vehicles which further contributes to the duration and stickiness of our fee earnings AUM. On the realization front, our major news for the quarter is the crystallization of $56 million in realized performance fees from Private Equity Fund III. We are nearing a great outcome for a 2007 vintage fund that has generated nearly a 2x, 2x return and top quartile Latin America and emerging markets performance while investing through a very challenging time period. Marco will provide more detail on this realization in a moment. But I want to congratulate the team who has worked diligently to deliver value both to the limited partners and now shareholders with this fund. Since the quarter end, we also completed the initial public offering of portfolio company, SmartFit, a great example of Patria's approach to value creation and building market-leading businesses through consolidation and geographical expansion. SmartFit is now the largest fitness club operator in Latin America and is one of the nine investments in our outstanding Private Equity Fund VI portfolio. This initial public offering is another step towards creating liquidity in this fund and being able to realize gains for our limited partners and performance fees for our shareholders. To put it simply, Patria is executing on all fronts and these examples are only the highlights. Just scratching the surface of an excellent work our investment teams and portfolio companies are doing. Let me turn the call over to Marco to take you through the detailed results and then I'll come back for some final words. Marco, the floor is yours.
Marco D'Ippolito: Thank you, Alex and good morning to everyone on the call. Our results for the second quarter reflect continued progress on our FRE growth drivers and an attractive yield for our shareholders. We generated fee related earnings of $17.6 million in Q2 '21, up 19% from $14.9 million in Q2 '20, driven by fee revenue growth of 31% over the same period. We have now generated $34.9 million of fee related earnings on a year-to-date basis and continue to be very confident in our FRE growth trajectory for the full year '21. Fee earnings AUM was $8.3 billion during Q2 '21, up 17% from Q2 '20. Remember that for our flagship funds, management fees are charged twice per year and our reported fee earnings AUM reflects the basis that is generating management fee in the current reporting quarter. For funds where management fees are charged as capital is deployed or reserved, the Q2 fee earning AUM will not yet include the impact of deployment in the first half of the year which will begin to generate management fees in the second half of the year. Therefore, you can expect less movement in fee earnings AUM and management fees from Q1 to Q2 but a more substantial change from Q2 to Q3 as the second half management fees are charged and recognized. Based on the significant flagship fund deployment, in the first half of the year, we expect our effective fee earnings AUM for the third quarter to rise substantially to $9.4 billion to $9.6 billion, depending on where some of our country-specific strategies land. That should give you a good indication for the uplift in our second half fee revenues. Our pending fee earnings AUM is expected to move from $2.8 billion to about $1.5 billion next quarter, given the heavy deployment from Private Equity Fund VI but this amount will be replenished to even higher levels than before as we begin to raise our next-generation Private Equity Fund. Total assets under management rose to $15.8 billion, up approximately $3 billion or 24% from $12.8 billion one year ago. About $2.2 billion of debt increase, or 17% of the 24% was driven by the appreciation in our underlying investments before accounting for the improvement in the Latin American currencies. Just further highlighting the significant value creation happening in our portfolio. On that note, net accrued performance fees increased to $325 million, up 29% from $253 million last quarter and that is after accounting for the realization from Private Equity Fund III. The accrual for Private Equity Fund V rose to $144 million and that does not yet account for the successful IPO of SmartFit which was completed in July. Also of note, the accrual for Infrastructure Fund III rose to $48 million as the fund moved through the 100% catch-up phase of the accrual waterfall. The continued strength of the accrual should be a positive sign to shareholders as it underscores the accumulated value that can contribute to distributable earnings in future periods. We recognized $56 million of net realized performance fees in Q2 from Private Equity Fund III as we return full capital and hurdles to the limited partners and the fund transitions to a liquidation status as we near the funds termination date. This particular scenario is somewhat unusual. So let me quickly explain what this means and how this impacts the P&L. As we have noted, the remaining assets in this fund consists of shares from one remaining portfolio company, the Brazilian medical diagnostics company, Alliar, as well as escrows and receivables from prior exits. With the full return of capital and hurdle, we effectively fulfilled our obligations to LPs leaving the remaining far value of the fund equivalent to our performance fees earned as of June 30. While the monetization of the underlying assets and escrows will occur in future periods, the performance fee crystallizes as a liability to the fund and as a revenue and an asset to Patria. Given the end of the life cycle status of the fund, we are recognizing as realized performance fees and distributable earnings in Q2. Future amounts received upon monetization may vary from the amount being recognized this quarter and any difference would be recognized throughout distributable earnings at this point in time. Underscoring the active nature of the divestment process for Alliar, just earlier this week, there was an unsolicited public tender offer by a third party to acquire Alliar's shares at the price consistent with the June 30 valuation. Putting that all together for the quarter, distributable earnings were $74 million or $0.545 per share. And as noted, we will pay a dividend of $0.463 per share. Combined with the first quarter dividend, this amounts to a yield of more than 3% just year-to-date based on our IPO crisis. Now, let me give some perspective looking forward on how our current momentum is shaping the road ahead. As noted, we expect to begin raising our next-generation Private Equity Fund in the second half of the year, along with launching the new renewable energy fund and raising more capital in certain country-specific strategies, all of which will have little impact on the 2021 and but are positive drivers for the 2022 earnings and beyond. Our net accrued performance fees continue to build and Private Equity Fund V is poised to be the next major driver of realizations. While the timing is always difficult to predict, we're making key steps toward liquidity and our expectation for this funds future contribution continue to grow. On the M&A front, while there is nothing to be announced at this time, we continue to be very active in our efforts and pleased with our progress toward putting our IPO capital to work. For fee related earnings, we expect an uplift in the second half of the year as first half deployment drives the effective fee earning AUM to near the $9.5 billion level. With this greater visibility on the second half, we feel confident that fee related earnings will exceed $75 million for the full year 2021, with a margin in the mid-50% range. Combined with performance earnings generated in Q2, that outcome would already lend us close to the $1 per share of distributable earnings for 2021 which Alex highlighted at the beginning of these remarks. With that, I will turn back over to him for some closing thoughts.
Alex Saigh: Thank you, Marco. Just to put that outlook in perspective, a distributable earnings outcome near $1 per share would generate a dividend yield of approximately 5% to an investor in our IPO and that is nearly 4x the current dividend yield on the S&P500. When you consider Patria's overall growth opportunity and the growth rates for revenue and fee related earnings that we are already demonstrating, we believe our stock sits at an attractive valuation today. Looking across our industry and the second quarter results, you just have to be impressed with the momentum across the board. The secular trends driving capital to alternative investments and private markets, in particular, are strong and we believe Patria is harnessing these strengths just the same. While we are nearer to the list of publicly traded names and still introducing ourselves to the market in many ways, we are certainly not new to the business. We have grown our AUM at 18% per annum since 2009. And since our inception have raised six fund vintages in private city and four in infrastructure, with the next generation soon on the way. Even with our established track record, I want to stress that our growth story is still in it's early chapters. We believe private capital and alternatives are underpenetrated in Latin America compared to developed markets around the world. And Patria is better positioned than anyone to meet the rising demand and deliver world-class investment expertise in our market. We see a compelling growth and expansion opportunity for our platform in the coming years and we are confident that we have the resources and leadership in place to capitalize. As significant shareholders ourselves, rest assured that we are highly aligned and we look forward to sharing this journey with you. We are now happy to take your questions. Thank you.
Operator: [Operator Instructions] Our first question will come from the line of Robert Lee from KBW. You may begin.
Unidentified Analyst: Good morning, this is Margo [ph]. I'm filling in for Rob. Thank you for taking my questions. My first question is on performance fees. And where might we expect that performance fees come from next year as well as the outlook for the second half of this year. I know that PE Fund V is just entering harvesting. Should we expect some of those fees in 2022 or not until 2023? Any color you might be able to provide on that and pace would be great.
Alex Saigh: Okay Margo, thank you very much. This is Alex here. And thanks for also participating in this call. We are very excited with the performance of our Private Equity Fund V, as you can see from the presentation here given today. We are able to exit from some companies. We're going to be able to -- we were able to IPO a major asset of Fund V which is the health club chain SmartFit. And I think we believe that we are building exits in Fund V to start delivering performance fees in 2022, not 2023. So our projections here are for performance fees, for Private Equity Fund in '22. Of course, some of that performance fee will be realized in '22, some in '23 but they're going to start in our projections to affect positively our distributable earnings in 2022. I hope I answered your question.
Unidentified Analyst: Great. If I could ask one on fundraising as well. I know that Infrastructure Fund IV is largely deployed right now. How close are you to fundraising Infra Fund V?
Alex Saigh: Thank you, Margo, again for the question. I think we are very, very positive in starting our fundraising for Infrastructure Fund V sometime next year. We did commit to several projects, as you just mentioned. But the way that our Infrastructure Fund works, we do commit to a project like when we win a concession, of a privatization. We then deploy the capital over time. So we would like to deploy more capital before I officially start our fundraising. Right now, we are close to 75%, 80% committed but approximately 20% deployed because of the mechanics that I just explained. You win a concession and then you're going to build up CapEx, so you deploy caps over the next quarters after you win the concession. So again, we would like to push that number higher than the current 20% which is exactly what will happen until year-end because we won the concessions, now we're going to have to deploy the CapEx, as I mentioned. So that puts us in a better position to start fundraising next year as limited partners do look at the also deployment percentage, not only the committed percentage in our funds. However, what we did in the meantime, if you heard Marco's and my comments here during the presentation, we decided then to raise a renewable energy fund this year which we are having a reasonable big success in that fundraising process, as investors are looking to more targeted mandates in this space, in the renewable energy space in the energy transition space. So we're going to focus on raising that fund this year. While we then deploy more capital in our flagship Infrastructure Fund IV and then start raising Infrastructure Fund V next year. I hope I answered your question.
Unidentified Analyst: Great, that makes a lot of sense. Thank you. If I could just squeeze one more in on margin. I know that our forecast was light on G&A and it was also up from last quarter. Were there any onetime items in the quarter or is this the right run rate to use going forward?
Marco D'Ippolito: Yes. I can take that one, Margo and thank you. This is Marco. So FRE margins, you should expect us having around 55% FRE margins for the entire year. There has not been any one-off for the quarter. If you're comparing to the previous year, I just want you to remind you that versus the previous year, there's actually a change in compensation structure relative to 2020, that accounts for the dividends that now transition to be part of our personnel expenses. But all in all, overall expenses have been very aligned with what we have last year and there's nothing that's really worth an attention here.
Unidentified Analyst: Great. Thank you so much for taking my questions.
Operator: Our next question will come from the line of Tito Labarta from Goldman Sachs. You may begin.
Tito Labarta: Hi, good morning guys. Thank you for the call. Congratulations on the strong results. A couple of questions also. I guess, first on the fee related earnings. I understand you deployed more capital there, we should get a nice uplift in the second half of the year. Just to think about, I guess, the management fees as a percentage of that fee earning AUM, should we expect sort of a similar ratio as we saw in the first half of the year? Any changes to sort of the fees that you earn on the fee earning AUM that you've deployed just to get a sense on how that should look. And then, second question also on the performance fees. Just to clarify, so the realized performance fees this quarter, it sounds like mostly from Alliar but with that center from editor, mean is there more that you can potentially realize this year? Just want to clarify in terms of second half of the year, any performance fees that we might be able to expect? Thank you.
Marco D'Ippolito: Hi Tito, this is Marco again. So on the management fee, what I would encourage you to pay attention to is on the expected fee earnings AUM for the second half of the year. If you look at the presentation that we shared with you earlier today on Page 13, what we show is that we have a $9.4 billion to $9.6 billion earnings AUM and that should be the driver for the management fee for the second half of the year which is a substantial increase versus the first half of the year or actually the second Q for '21 which was $8.3 billion. So, those dynamics will be driving most of the fee -- of the management fee for the second half of the year. And relative to the performance fee as Alex indicated before, the next fund to be generating performance fee for us would be mostly Private Equity Fund V which I note that there has been a substantial increase in net accrual from last quarter when we had $182 million and now closing $244 million. So 34% increase and that's the result of the massive appreciation of the portfolio. But besides that, it's interesting to note that there has been also a substantial increase coming from Infrastructure Fund III. When we -- last quarter, we had $9 billion. And this quarter, we are presenting -- sorry -- $40 million [ph] and this quarter $48 million. And also on Private Equity fund VI that came all the way from $15 million to $31 million. So private equity Fund V has, as Alex indicated, completed an IPO of SmartFit. We have divested from another company. So there's been a very good traction in terms of activities and with different possibilities within the fund. This is a fund that has nine companies now. And when I look through the assets of the fund, I see multiple possibilities. We don't think that we're going to realize performance fees from Fund V this year. So it's mostly concentrated next year. So, that means that there's a greater amount but slightly delayed to the next year.
Tito Labarta: Thanks, Marco. That's helpful, that's clear. Just one follow-up on the fee earning AUM. Yes, I understand the pickup in the second half of the year. I guess the question was more related to like the management fee. It was like 1.6% annualized this quarter. Should we expect that percentage to remain similar in the second half of the year? So right, as you have the $9.4 billion to $9.6 billion, a management fee around 1.6% is a reasonable number to expect as well?
Josh Wood: Hey Rob [ph], this is Josh. Just one thing to add there to think about is on the infrastructure fund, the fee rate is actually a blend where a portion of the fee is charged on commitments and a portion of the fee is charged on deployment. So you will get some increase in the effective rate for that fund as it deploys capital. But generally, it's going to be close to the rate you've seen over the past few quarters. So that's one additional thing to consider that could cause it to bump up just a bit.
Tito Labarta: Okay, thanks. That's great.
Marco D'Ippolito: But all in all, you shouldn't expect any relevant change in the pattern of the management fees.
Tito Labarta: Got you. Okay, great. Thanks, Josh. Thanks, Marco.
Operator: [Operator Instructions] Our next question will come from the line of Ricardo Buchpiguel from BTG Pactual. You may begin.
Ricardo Buchpiguel: Good morning, everyone and congrats on the results. First, I wanted to understand a little bit better. You explained a little bit in our presentation on the realization of the Fund III in terms of [indiscernible], right. So as I understand, correct me if I'm wrong; you still have this IRR and some receivables in this firm. But basically, you expect the monetization to expect in the future and it was already committed from the LP, right? I just wanted to understand what is the difference from that to the accreted performance fee in the balance sheet? And also for my second question, I wanted to just a little bit better, then -- one of the -- as far as I understand, one of the goals that you had in your IPO was just cars for some M&A opportunities to add to the franchise and particularly out of Brazil. So I wanted to know if you have any update on that and if there's any ongoing negotiations and what kind of assets will make sense for us to expect for this year or perhaps the following years. Thank you.
Alex Saigh: Thank you. Maybe I can help you on the first question here and thanks for your question and nice to talk to you. This is Alex again here. Our Fund III went -- was -- is going into a liquidation mode as we call it here in our industry which means that as of June 30 of this year we did give back distributes to investors all the principal invested, the hurdle and the costs of the fund. From that moment on -- that was June of this year. From that moment on, as this fund has a full catch-up. So, all of the money that comes into the fund and it's distributed now up to $86 million in this case for Private Equity Fund III goes to the general partner, goes to Patria. So it's 100% of full catch-up terms in this one. After that, we distributed the money on an 80-20 basis, okay. In addition to this full distribution mode which is different than the other funds, the other funds are still being invested. So we are accruing the performances. We were working actively to sell the main asset of the fund which is the shares of the Alliar, a medical diagnostics company, traded in our Brazilian stock exchange. As you can see that this has been a very active divestment process from the tender offer that was made public early this week to buy from a third party to buy Alliar shares at a price per share very much aligned with the price per share that we accounted for the performance fees in June 30 of this year. So we expect to see realizations coming from the Alliar shares. And then the remaining of the assets of this firm is already given because it's basically receivables earn-outs from prior exits from sales of companies that were in Private Equity Fund III. So that has already been signed fully committed. It is a question of receiving that money which will probably come in the first quarter of 2022. So with that very concrete moment of this fund of liquidation mode, as we explained during the call, we then accounted for these fees in our second quarter results. The other unrealized performance fees that you mentioned, they are not in that same stage on a fund-by-fund basis. We were talking about, for example, Private Equity Fund V, during the call here today in our Q&A session. We're building that unrealized performance fees. But, for example, in Private Equity Fund IV or Fund V, we have not returned the capital yet. So we have to sell companies, then we have to return the capital, then we have to return the hurdle and costs and then we start bank charging performances. Because of that very different nature and moments that one fund stands versus the other, that's why we then accounted for these realized performance fees. In addition, the clear view that we have in actually realizing resources from the sale of the IRR shares. Then your second question on the M&A front and Marco also can help me here as he actually has this effort. We're very, very active and we are looking to expand our product offering and our geographic footprint. We don't have anything to announce at this moment but we're extremely active in those two fronts. Product offering, meaning not only products in the Brazil-centric strategy for the Brazil-centric strategies but also products that will also have a Latin American exposure. And of course, on the geographic footprint expansion, it's not only Brazil but ex-Brazil, of course, outside of Brazil. Anything to comment there, Marco?
Marco D'Ippolito: Yes. I would just add that what you should expect is consistency with what we have announced during the IPO and what we're looking for, bringing into Patria with our acquisition program which would be geographical competencies, distribution channels and new products. So as Alex indicated, we've been actively working on this and we've been active in signing MOUs and working through negotiations but there is nothing to be announced at this stage.
Ricardo Buchpiguel: Thank you. Very clear.
Operator: And our next question will come from the line of Domingos Falavina from JPMorgan. You may begin.
Domingos Falavina: Thank you. Good morning, guys. And thank you Alex Saigh [ph]. A very thorough question actually was going to ask the $86 million sort of we get on the performance and if you delivered above that. So let me add to the answer another question or two. The performance you booked now on the liquidation of the fund in super clear. It came, I mean, very close to a tender offer being done for the assets. So my question here is, is there any discussions on any potential premium for the control? Have that culminated a little bit the divestments? So it is contemplated in this performance recognition as well. And how are you seeing the standard? And the second one is we're obviously seeing a rise in interest rates in Brazil, right? And I mean, as the prices come down which is better for acquisition. But it might -- I'm guessing it might change a little bit your perception on the sectors which might become more less compelling as you wind your next role of investment strategy. So my question is on that, basically this changing environment in Brazil, what makes your -- the sectors more compelling in the sectors less compelling?
Alex Saigh: Thank you very much, Domingos. Nice to talk to you again. We are -- we continue to be very excited with the sectors that are the core focus of Patria. And even as we move along into the year and we see what's going on with our country and other countries in Latin America economically and politically, health care continues to be a very, very area -- a very important area of focus for us. And I think with the pandemia that even more so stressed, all of the countries have to invest more in health care. And this very exciting strategy that we are looking in Brazil and outside of Brazil in this sector, in this industry. Also, I think on the infrastructure side, we have been very active on the logistics front, as you probably know, several governments around the region are diversifying from public assets, mainly an area of focus for us which is -- logistics is the main area of focus for us. And we are now the third largest toll operator in Latin America. We just won two concessions -- actually one concession and we did acquire another assets in Colombia. So logistics is a major area of focus for us. And I think going forward, as you mentioned, with the rising interest rates, you know that these logistics assets are -- the total growth fees and some also logistics -- some assets in the energy sectors, the revenues are linked to inflation. So that also gives us a very interesting natural hedge in our investments in these two sectors. So going back to private equity, I think we're also extremely and continue to be very excited with logistics on the private equity side. We have been investing in cold logistics, for example, around the region which is a major issue of cost increases because we see energy prices going up and cold logistics is very dependent on the price of energy. So, we -- again, I think we haven't changed our focus; and I think as we see these countries progressing, coming back very strongly from the pandemic, all of the -- most of the countries in Latin America are now reviewing their GDP growth up for 2021, including Brazil from what we expected in the beginning of this year. So again, it's an exciting moment to be investing in Latin America, to be honest, with a lot of gaps and not a lot of capital chasing the deals which puts us in a very privileged position to be honest. I would say even more so on the infrastructure side which is -- there is no less competition from -- for Patria. So I hope I answered your question here.
Domingos Falavina: You did, very clear. Thank you. And congrats on finishing the cycle on P3 [ph].
Alex Saigh: Yes, thank you very much. It was a 2007 vintage fund and I really would like to praise the team for an amazing effort to 2007 vintage funds, they faced a tough moment which was the 2008 crisis, as you know. And we managed to deliver a top quartile fund in -- not only in Latin America but in the emerging markets ranking. So extremely proud and 2x [ph] met in U.S. dollars for our investors which is something that makes us very, very proud given the vintage of the fund. Thank you.
Operator: Thank you. I see no further questions in the queue. I'd like to turn the call back over to Alex for any closing remarks.
Alex Saigh: Well, thank you very much for your patience and participating in our call. As we mentioned here, we're extremely excited with our results. We are now $0.67 of earnings per share here for the year-to-date which puts us in a very, very good position here to deliver what we mentioned here in several different occasions during this call, a $1 per share for 2021 which represents approximately 5% of building yields to our investors in our IPO. So, I'm extremely proud of the results and as we move forward into the year, actually, we're more and more looking into 2022, given our business which is very predictable, very, reliable revenue sources, as you guys know, the dynamics of the industry. So our second half of the year as far as a few related earnings is basically there because as we charge fees in the beginning of the semester which was a couple of weeks ago, we look into -- and I look into 2022. I'm very excited we're anticipating the fundraising for Private Equity Fund, Fund VII, raising a renewable energy fund, anticipating for next year our fundraising for Infrastructure Fund V. Our Brazilian-centric strategy is doing extremely well and raised capital above our expectations. So that puts us in a good position to finish the year with $1 per share of distributable earnings and looking to 2022 with an optimistic view. So, thanks again and I hope all of you and your families are well and safe and have a good day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.